Operator: Good morning and thank you for joining us for RPC Inc's first quarter, 2010 earnings conference call. Today’s call will be hosted by Rick Hubbell, President and CEO; and Ben Palmer, Chief Financial Officer. Also present, is Jim Landers, Vice President of Corporate Finance. At this time all participants are in a listen-only mode. Following he presentation we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. I would like to advise everyone that this conference call is being recorded. Jim will get us started by reading the forward-looking disclaimer.
Jim Landers: Thank you and good morning. Before we begin our call today, I want to remind you that in order to talk about our Company, we are going to mention a few things that are not historical facts. Some of the statements that we've make on this call, could be forward-looking in nature and reflect a number of known and unknown risks. I'd like to refer you to our press release issued today, along with our 2009 10-K and other public filings that outline those risks, all of which can be found on RPC's website at www.rpc.net. I also need to inform you that in today's earnings release and conference call, we'll be referring to EBITDA, which is a non-GAAP measure of operating performance. RPC uses EBITDA as a measure of operating performance because it allows us to compare performance consistently over various periods without regard to changes in our capital structure. We are also required to use EBITDA to report compliance with financial covenants under our revolving credit facility. On our press release today and our website provide a reconciliation of EBITDA to net income, which is the nearest GAAP financial measure to EBITDA. I invite you to review that disclosure, if you are interested in seeing how it's calculated. If you have not received our press release, please call us at 404-321-2140 and we'll provide one to you immediately. I am now going to turn the call over to our President and CEO, Rick Hubbell.
Rick Hubbell: Thanks Jim. This morning we issued our earnings press release for the quarter ended March 31, 2010. In a few minutes Ben Palmer, will discuss our financial results in more detail. At this time I would like to provide you with a few operational highlights. During the first quarter of 2010, RPC experienced its first profitable quarter in over a year and it’s a welcome change to discuss with you today the positives occurring in our business. RPC's success during the first quarter of 2010 was due not only to improving conditions, but also to actions by our managers during the previous 12 months. Their initiatives to right-size our business and enhance strategic relationships with key customers put RPC in a position to take advantage of the rapid absorption of industry capacity. While pricing still remains competitive, increasing demand has provided some relief from the high discounts experienced in 2009. in response to customer add-on opportunities, we have committed to increase our pressure pumping fleet to 90,000 horsepower or approximately 30% over the next year. With that overview, Ben Palmer our CFO will provide some financial details.
Ben Palmer: Thanks a lot Rick. . For the quarter ended March 31, revenues increased to $213.1 million, a 20.9% increase compared to the prior year. EBITDA for the first quarter was $55.2 million, a 36.2% increase compared to the same period in '09. RPC reported an operating profit for the quarter of $22.6 million compared to $8.4 million in the prior year. Our net income was $13.4 million or $0.14 diluted earnings per share. Cost of revenues increased in the first quarter from a $110 million in the prior year to $129.6 million in the current year. The increase in cost were due to a variety of factors resulting from higher [business] activity levels including material and supplies expenses, fuel cost and maintenance and repairs expenses. Cost of revenues for the first quarter was 60.8% of revenues compared to 62.4% in the prior year. This decrease as a percentage of revenues was due primarily to the higher revenues associated with increased utilization in unconventional basins, lower direct headcount compared to the prior year and operational leverage. Selling, general and administrative expenses during the quarter were $27.8 million, which was approximately same as the first quarter last year. Because of our ability to leverage these fixed costs over high revenues, SG&A cost as a percentage of revenues decreased from 15.7% last year to 13.1% due to these significantly higher revenues. Depreciation and amortization was $32.3 million and was approximately the same as last year. Our Technical Services segment revenues increased 26.7% due to improved utilization of the entire fleet and a favorable job mix. Operating profit more than quadrupled from $6.1 million to $25 million this year. This increase was due to higher revenues and both improved utilization in pricing and operational leverage. These improvements were partially offset by increased material and supplies and deal requirements due to job mix. Revenues in our Support Services segment which is comprised mainly of our rental tools service line decreased 13.7%. This segment generated operating profit of $1.9 million compared to $3.7 million last year due to lower pricing for our services, partially offset by higher utilization. RPC's first quarter 2010 results continued the sequential improvement that began two quarters ago. Our consolidated revenues during the first quarter increased again to $213.1 million from $152.4 million in the fourth quarter, 39.8% increase, which is significantly higher than the average sequential rig count increase. Revenues increased due to significantly higher activity levels and improved pricing, especially in selected unconventional plays. First quarter cost of revenues as a percentage of revenues decreased from 67.1% in the fourth quarter to 60.8% in the first quarter as a result of leveraging personnel and fleet expense over higher revenues. SG&A expenses increased $4 million or 16.7% from the prior quarter due primarily to higher incentive compensation. However, SG&A as a percentage of revenues decreased from 15.6% to 13.1% duet to leverage from these higher revenues. Our sequential EBITDA more than doubled from $26.1 million in the fourth quarter compared to $55.2 million this quarter. Our Technical Services segment revenues increased 40.8% to $191.4 million, and generated an operating profit of $25 million compared to loss of $1.7 million in prior quarter. All of our service lines within this segment experienced pricing and utilization improvements, but our pressure pumping, coiled tubing, and downhole tools businesses leading the way. Our Support Services segment experienced 31.6% sequential revenues increase and generating an operating profit of $1.9 million during the first quarter compared to an operating loss of $2 million in the fourth quarter. Our rental tools business experienced higher activity levels with pricing pressure to remain strong. First quarter 2010 capital expenditures were $10.4 million and were primarily as a maintenance nature, however as Rick mentioned previously we have taken steps to increase this size of fleet [wiring] new equipment. Capital expenditures for the year are now projected to be approximately $130 million. Almost 75% of our 2010 capital expansions relate to pressure pumping with the remainder being invested to support our coil tubing and other service lines. At this point we expect substantially all of this equipment to be in service and generating revenues by the first quarter of 2011. RPCs outstanding debt at the end of the first quarter was $114.3 million, under our credit facility which matures in September of 2011. Our ratio of long-term debt to total capitalization was 21.4% at the end of the first quarter, compared to 23.9% as of March 31, 2009. With regards our credit facility we have taken the initial steps to refinance this debt before the end of the third quarter. With that I’ll turn back over to Rick for few closing remarks.
Rick Hubbell: Thank you, Ben. Riding the wave of unconventional drilling activity and its service intensive nature, RPC has positioned itself to take advantage of the rapid transition to these markets. While, I’m pleased to report improved industry conditions in RPCs markedly better results, the lower price of natural gas rates and overwriting uncertainty regarding the sustainability of region trends. While we are confident about the future growth of RPC as demonstrated by our increased capital investments we're always attentive to industry changes and we’ll adjust the accordingly. I’d like to thank you for joining us this morning. At this time we will open up the lines to answer any question you may have.
Operator: (Operator Instructions) We will take our first question from Rob Mackenzie with FBR Capital Markets.
Rob Mackenzie - FBR Capital Markets: What I would like to explore with you guys is, in some depth, if you will this , how should we think about cost absorption and/or cost inflation going forward, Clearly I think you probably benefited from a lot of just absorption of cost you are bearing in prior quarters, from excess personnel or equipment. When do we start seeing those incremental margins decline as you start having to add cost to meet the growth in demand?
Ben Palmer: Rob this is Ben. That’s a fair question. Obviously coming off, this great quarter with a large sequential increase, lets see where things shake out, but to your point, I think we will have to add some personnel, I mean, we expect things to stay at this level, so we will have to add personnel to be able to handle that effectively, continue to handle that effectively and beyond that I expect this industry conditions continue to stay strong. There would be just some general upward pressure on personnel cost and compensation, but beyond that we do expect that we do have some ability to continue to get some leverage on some of our other service lines like rental tools that didn’t quite as quickly as some of the other service lines. So, again fair question, but there is lot, there will be a lot of moving parts, kind of those type are [good] I think, but a lot of moving parts over the next couple of quarters.
Rick Hubbell: Rob this is Rick, Of courses as we have this new equipment, we are also going to have to add people to staff it.
Ben Palmer: That’s correct. That will have to be done ahead of time and because they will have to be trained and that sort of thing, so again all things being equal that that will be symmetrical, that’s a good point.
Rob Mackenzie - FBR Capital Markets: Can you give a feel for what’s the timing is on delivery of the (inaudible)?
Rick Hubbell: As we said we think most of it will be here, clearly in and operational by the first quarter and expected could be sooner than that. We may see some benefit even starting in the third quarter, but it could be forward till the first quarter of next year. It will begin to be delivered during the third quarter and certainly will take advantage of it as much as we can.
Rob Mackenzie - FBR Capital Markets: You expect to have no problems delivering all aspects of the operation for blenders to pumps to everything else?
Ben Palmer: We've had a very detail point in our gas but together that we’ve gone through and we feel good that it's in a very complete and the ordering and all that is in place and the planning for it to come on board and get assimilated and all that, so we feel good about it and we think we are in a good positions may be little bit earlier than some of the other folks, so we feel good about that.
Jim Landers: Rob, this is Jim. You’ve known us for long time. We learned something from our expansion of a couple of years ago. So happy to learn some things and we are coordinating things we hope better and more realistically and fast.
Rob Mackenzie - FBR Capital Markets: I guess my next follow-up would be for Rick. I mean strategically Rick how you think about the impact on the market of adding additional capacity here when arguably pricing is just recently in the past several months started to show meaningful improvement. Are you worried that if you guys do it and if other folks do it that you guys could present an overhang in terms of meaningful pricing recovery going forward?
Rick Hubbell: Rob, that's always a concern and certainly is a risk. The particular equipment that we are adding is in direct response to customer request, so we feel more confident about this equipment than we did two years ago, when we kind of added blindly, but as you said its always a risk.
Rob Mackenzie - FBR Capital Markets: So is this work? Or how many have complete units or fleets are you adding with this right now for a start?
Ben Palmer: Obviously, you can break it out in several different pieces but that that would probably represent couple of fleets at this point. The improvement we saw up in the first and the fourth quarter to the first quarter was in some respect sort of a perfect storm, as we indicated some customer conversion successes whatever due in part, I mean that happening at one time I think because of the rapid absorption of capacity at this point in time, but lot of the groundwork had been laid over the last several months. Lot of those successes happened to not impact the fourth quarter but they'll all begin in the first quarter. It's a little bit different and some of these unconventional plays, the way the jobs are having to be delivered and it requires a little bit more of a commitment between the pressure-pumping service providers and the customers and we feel like we may be understand that better than some of our other competitors, and we are being able to take advantage of that and to your point about creating too much capacity as Rick said that's always a concern. So we believe this trend will continue, that our customers as they learn more and more about operating in this unconventional plays will realize that it different than a conventional play and I think we have an approach that’s worked well for some of our customers and they are looking forward to us having additional capacity to be able to deliver in the same manner and some of the same and in some additional rates. So we feel good about that.
Jim Landers: Rob, this is Jim. I just want to clear, just emphasize and answer to your question when you asked how many fleets or how many spreads? Understand that the pressure pumping spread today or pressure pumping fleet whatever you want to call is a whole lot bigger than it was a couple of years ago.
Rob Mackenzie - FBR Capital Markets: As I said why was asking was just to trying to identify kind of almost exactly what’s going. It was a backdoor question?
Jim Landers: Sorry.
Rob Mackenzie - FBR Capital Markets: Then since you mentioned in response to customer request I guess it was Ben or Rick, does that mean that you have contracted this equipment in terms of service already with a certain customer or customers?
Rick Hubbell: Its' not at all contracted yet but certainly we are long way down that route.
Rob Mackenzie - FBR Capital Markets: Then how would you characterize if you will the pricing on this versus your averages of your existing fleet today.
Ben Palmer: Well, again reasonable question. Again things are really moving and changing and I think the dynamics on this unconventional plays, it’s just a little bit different ball game, with the way jobs are performed, the pricing is different and it is with conventional sort of fed up due to job breakdown and go back home, you are ready to go to the next job. These are long-term jobs. So there is a lot more volume taking place, that’s why the fleets are much bigger, and its got a different dynamic, but I think with the customer discussions we've had, clearly we have not signed up on pricing yet and that is part of the discussion. We will be going through and that as always will depend upon where the market is moving and both sides perception of what the right price to be is. We expect that the pricing on the new equipment will be at least as good as it is on what we have converted here in the first quarter.
Rick Hubbell: Rob, this is Rick. We are fortunate to have an outstanding group of managers and employees and we certainly could not do this without them.
Operator: We will take our next question from Jeff Tillery with Tudor Pickering Holt.
Jeff Tillery - Tudor Pickering Holt: I wanted to follow up on some of the questions on the capacity expansion. So should we take this that, when may be that not all contracts are signed but would you consider this a contractually-backed capacity expansion, or do you consider this to be more speculative? I am just trying to understand because our returns today for the industry aren’t great. If you can lock in some utilization, may be you can get returns to either economic, I am just trying to understand the dynamics around the capacity expansion?
Ben Palmer: Reasonable question, I guess. The agreements we have with various customers, each one are different and unique. Obviously there are some things about them that are similar, but they each are different in terms of their commitment and language and so forth. I would say relative to this, to what we are adding there is no firm commitments yet, but again there is lot of discussion, lot of ground work has been laid over several months and again as I said just like what we converted in the first quarter, that groundwork has been laid, so we feel good about it. We think the demand is strong enough. We are confident that we’ll be able to convert it into additional firm relationships with current and new customers, but we can’t say right now that it's committed. So I think it's somewhat between [committed] and already contracted.
Jeff Tillery - Tudor Pickering Holt: Is some portion of it committed, or basically you are saying these are converted inside the order and you think that there is going to be some commitments in place by some of the equipment delivery, just trying to understand the time…
Ben Palmer: The lag.
Jeff Tillery - Tudor Pickering Holt: That make sense. The total cost for this equipment add is that somewhere around $80 million to $90 million?
Ben Palmer: Yes, I think, it's really about 75% of the 130, yeah.
Jeff Tillery - Tudor Pickering Holt: Lot of things going well in the first quarter, the things have been in the customer conversions, the groundwork have been laid, anything that you consider in the Q1 results unusual, or worth highlighting that they may not repeat in a second quarter if we assume activity holds up and the business in aggregate for the industry is okay? So anything unusual that we shouldn’t think about is repeating in the second quarter?
Ben Palmer: There was not anything unusual. These new opportunities, I would say, obviously possibly impacted much of the quarter and not the entire quarter. So that provides some cushion there going forward. We think there are opportunities for some of the other service lines and groundwork has been laid there for them to improve also over the next quarter or two.
Jeff Tillery - Tudor Pickering Holt: I guess in your pressure pumping and coiled businesses today, is there room for utilization improvement or the revenue gained from here, are they more function of pricing?
Ben Palmer: The actual pressure pumping in the first quarter, we were pretty busy, pretty close to being so, we could do better than that, but to expect to do better than that quarter after quarter would be a bit much but our pricing would be more of the pressure pumping. Again some of these customer relationships, we have locked in for a longer period of time, so there is not as much ready pricing improvements on that portion of our fleet, but on the other portions of the fleet, there is some ability to increase prices, now its taken on the other services lines, others than pressure pumping that there is the ability to increase prices and we expect that to occur.
Jim Landers: Jeff, this is Jim. As Ben said rental tools, we are looking for some traction on pricing increases there?
Jeff Tillery - Tudor Pickering Holt: The margin ramp in Technical Services obviously was pretty sizable quarter-on-quarter. Just wanted to get a feel for as we move forward, exit rate for the quarter where the operating margins have being high-teens, just trying to get a feel for where things are today?
Ben Palmer: Not high-teens. Exit rates were higher than the average but not high-teens.
Jeff Tillery - Tudor Pickering Holt: I guess from, an outlook stand point both the Fayetteville and Haynesville have been important markets for you guys. There are also markets where we seen CapEx reallocated elsewhere. I mean the fleet is mobile, could you just give us an update on what you have done from moving a fleet around 10 point, and the Marcellus has been a growth area. Have you moved more equipment to the Marcellus, just given an update on that?
Rick Hubbell: We’ve moved some equipment to the Marcellus and it's probably the same as the update that we have last given you. We have some pressure pump equipment in the Marcellus. We have a meaningful percentage of the coil tubing fleet in Marcellus. Some rental tools. It's not any different than it was a few months ago.
Operator: We’ll take our next question from John Tasdemir with Canaccord.
John Tasdemir - Canaccord: I really want to follow up with a couple of questions of Jeff worked with. Obviously, we are hearing a lot about the big moves in to some of these oily liquid place like Eagle Ford or [Wayne] Wash. Is that stuff come in to your business thinking at all?
Rick Hubbell: Sure, I mean, we are working there in those places and looking for various opportunities. Again, to think about the fleet that we are adding and the equipment that we are adding can work in any of this particular basis, so we are going to be going to the customers that again where we had existing relationships and/or new relationships and saying we know how to do it and we’ve got new fleet and we’d like to establish a relationship. So we’ve done it, we've done at other places. We've been successful and again we like to come up with some additional mutually beneficial relationships where they have availability of capacity and know how and personnel and we have the benefit of a little bit far more. Nothing is for ever, these contracts were not ironclad but they are solid relation customer understandings and relationships. We commit to them and they commit to us, and it should be a lot of mutual benefit. So this way they can work in the gassy plays or the oily plays. So, its actually where they land.
John Tasdemir - Canaccord: I know you guys [disciplined throughout]. Well, have you seen your equipment start to migrate, similar to your oily plays or is it just all out [store things] one?
Rick Hubbell: I would say more of it, there has been more, just initial exploration in some of those oily plays, our equipment does have wheels, but it does take some time to take those decisions and actually physically move them. So I would say there is, we've been more focused on what's been active in the last six months and what is been out in the last for the last six to nine months and what is been [active] in the last two or three months,
John Tasdemir - Canaccord: Great, that makes sense. I also want to push off, but further on. Its my last question and that's trying to triangulate, I mean you had had such impressive, kind of revenue and margin growth, in the first quarter. Well I can't scratch your heads, to figure out, if you rationalize that as we look in, even just into the second quarter, you figured kind of your utilization, got pretty good, which will see some pricing improvement, I mean is a five to ten percent type of top line growth, into the second quarter, sequentially, the ball park or can you help us at all?
Ben Palmer: Reasonable, question, against tough, there is a lot of moving part, again. Substantial move obviously in the first quarter. So, to be honest we are not sure exactly where it is going to land. We think it is going to be good, but we are not sure exactly where it will land. There could be some of the large amounts of activity, it dependant upon how many stages are completed and that is customer driven in a sense one of a variety of things. It is reasonably predictable but it can vary a lot month to month. The first quarter was a good month for that type of activity or good quarter for that type of activity and it likely could be better, could be a little bit lower, it could be higher, but with the other parts of our business, we are seeing some improvements and we would expect that that would provide some cushion underneath, maybe slight reduction in revenue within some of the unconventional basin So, again reasonable question, but we're waiting to see exactly where it will fall out, but as I said earlier, it's obviously good. There is nothing that’s unusual about the first quarter, but it was exactly where second quarter falls out.
John Tasdemir - Canaccord: April, yeah, but maybe March or April trends versus January trends maybe better?
Ben Palmer: March was a good month. It's interesting, we had our Board meetings yesterday and we had the lot of members of our Board that involved in lot of different businesses and telling our guys that they heard on the radio or on TV this mornings, sounds like lot of people had a tremendous March, we had a good March as well and but I’m not counting on that, continuing month after month, but it could.
John Tasdemir - Canaccord: Then just on the margin side a little bit, I’m guessing that your margins from a pricing perspective were just kind of migrating a little bit higher on average from first quarter to the second quarter.
Ben Palmer: I think that’s right. Again we've got pricing improvements that should roll through, that will benefit it, but we are going to need to add some more personnel to be able to handle this level of volume. We are going to hire and the rest of the year we will have to add some new personnel ahead of new equipment coming in. So there are positives and negatives there?
John Tasdemir - Canaccord: Yeah, that makes sense. One final question and I let you guys go. These new equipments that you are building, for you guys was there a buy versus build decision? Is there anything out there from a consolidation perspective or any though process there?
Jim Landers: John, this is Jim. Traditionally our trends on this capital have been higher from building rather than buying. Companies are buying fixed assets from others and that's probably still the case because if any options come up, we typically do not win options. There is sort of winner's curse that we find. For the present time, we are still buying equipment rather than looking at acquisition, just a premium that you have to pay.
Ben Palmer: I'd say the other thing too, is with the unconventional plays and stress that is putting on the equipment, we think we got some techniques that help us in that regard, but it is tough on the equipment and it's a lot safer to buy new equipment that you know what history is, that had been overworked or not adequately maintained, so that is a risk buying another company and buying equipment that may not stand up to the stress, the new type of work is taking place.
Operator: Moving on, we have a question from Andrea Sharkey with Gabelli & Company.
Andrea Sharkey - Gabelli & Company: I wanted to ask a follow on sort of the oil shale is that, do you anticipate that there would be any difference in say the intensity or the pricing and the margin on work that you might do there versus the unconventional gas shale place that you're working on now?
Rick Hubbell: Good question, I think its just depends probably it depends on where the customer if you talk about this new fleets, it just depends up on whether they see availability or otherwise and what their pressures are. It could very well be initially as they are moving in to a new areas that they are developing out, that need to get that first one in there and get it working that may be, it has ability, maybe they'll negotiates something a little bit better but market forces will be at play. I don’t expect that there will be a meaningful difference because of the volatility and obviously in oil and natural gas. Who knows six or ninth months from now what the relative valuations are going to be, what gas could cost. So, our thought we said I think it will be meaningfully different.
Andrea Sharkey - Gabelli & Company: That makes sense. Then yesterday I heard on the National Oil [Wells Fargo] conference call, they were talking about getting some orders for coiled tubing equipment that people need larger diameter on some of this unconventional plays. I was curious if you guys have foreseen that in your equipment and how your equipment stacks up for that?
Jim Landers: Andrea, this is Jim, that’s definitely a trend. Larger diameter coiled tubing equipment is of more use in this unconventional or horizontal plays. They are more useful in longer laterals. You can just do more with them so that’s definitely a trend. We were an early pioneer in coiled tubing. We try to stay upfront and those larger diameter coiled tubing units are definitely something that we have and have continually need.
Rick Hubbell: Andrea as we talked about coiled tubing as part of this expansion and those will be the larger diameter.
Andrea Sharkey - Gabelli & Company: Okay. So that added CapEx that you are spending also includes, may be adding some more large coils to begin with?
Rick Hubbell: Correct.
Ben Palmer: Yes definitely potentially.
Operator: (Operator Instruction) We have a question from Brad Handler with Credit Suize.
Brad Handler - Credit Suisse: May be I could ask a couple of questions about-about pressure pumping and also pump. Could you describe of what you guys see in terms of the trends and may be look every year in terms of the size of jobs, the duration on sites, equipment needs and how that, you think that evolves going forward?
Jim Landers: Brad this is Jim, without, without giving away to much, I think everybody in the industry has taken notice of the fact that the things that are happening in the markets right now are just very horsepower intensive and they take a long time to do and if natural gas falls a whole lot and then that won’t be that big a deal, but that trend ought to continue and everything that we are, hearing and our customers are talking about its not going to get any easier to get natural gas out of these rocks, in the next few months. That was in the past year. So that really speaks to the service in terms of nature of these kind of production activities, or completion activities and that's what we are involved in. So kind of the best answer we can give at this point.
Rick Hubbell: This is Rick I think the acquisition by Exxon of XTO, I think that’s an indication that the whole industry is moving in that direction.
Brad Handler - Credit Suisse: Sure. Do you think the average number of completion stages will be higher? I mean based on the conversations you’re having or you're moving, does it continue to move in that directions or things stabilizing?
Ben Palmer: I think there has been an increase in a number of stages in general and with the increase in the percentage of completions being unconventional overall, yes, I think there will be more and more stages and more and more activity.
Brad Handler - Credit Suisse: In Haynesville play, we obviously heard a lot about running equipment very hard and I think there is a certain wear and tear on the maintenance side of it and there is a certain redundancy that you guys bring that everyone needs to bring I think to handle that, right? In terms of your experience over the last six months in that, how are you guys thinking about what needs to happen? Do you need to bring even more equipment out in terms of handling that redundancy needs because of maintenance stress, or is that something that is your expertise grows in the regions, you might be able to bring [less out] and thereby kind of work of the capacity a little bit if you will more efficiently?
Jim Landers: This is Jim. I think the answer is the middle of the road. You’re right about how much horsepower we need to take. I don’t think we are going too need to take more horsepower, but I don’t think we need to take less either. I think if times goes on you have some acquired knowledge in some embedded expertise that allows you to work it maybe not easier, but differently and tweak a few things as Ben just said, and I think that’s the solution, but it's not a less horsepower answer.
Rick Hubbell: I think the overdriving concern is to do a good job for the customer and if that means taking more rather than less for the job, we would always take more.
Ben Palmer: Reliability is key.
Brad Handler - Credit Suisse: Sure, it make sense. I will shift a little bit differently, as you guys think about and your broader products can apply here, it doesn't have to be just a pressure pumping question. As you think about how the next year evolves for you trying to gauge, do you, you think you'll wind up having a concentration of customers as you aggregated your moves, your equipment into larger place and you are talking with some specific customers about meeting their demands? Do you think you'll wind up concentrating your customers and having sort of deepening those relationships and having more of your revenues come from a smaller customer base over the course of the next year or two a more? Is there no change in your philosophy there or how the business evolves?
Rick Hubbell: I think as a percentage, we will have more concentration with these types of relationships. It won't be across all of our service lines, but certainly the ones that are very active in these unconventional plays. The commitment both from the customer and from us, is tremendous but it will resolve on us, impact on us. It will be larger concentrations of customers, yes.
Brad Handler - Credit Suisse: Interesting, okay. As you are having these conversations for new equipment and old equipment, existing equipment, I gather they are somewhat longer term in nature in some respect, right? You are talking six months; you are talking one year kind of commitments, right?
Rick Hubbell: Right, that's correct.
Operator: We have a follow-up question from Rob MacKenzie with FBR Capital Markets.
Rob MacKenzie with FBR Capital Markets: My follow has been answered. Thank you.
Operator: It appears there are no further questions at this time. Now I would like to turn the call back over to Jim Landers for any additional or closing remarks.
Jim Landers: I want to thank everybody for calling in this morning and for all the interest and all the questions and good discussion. We appreciate it and hope everybody has a good day. Thanks, talk to you soon.
Operator: That does conclude today's conference and we do appreciate your attending today. Thank you.